Operator: Good afternoon. My name is Joelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Artis Real Estate Investment Trust Second Quarter 2025 Results Conference Call. [Operator Instructions]. Heather Nikkel, you may begin your conference.
Heather Nikkel: Thank you, operator. Welcome, everyone, and thank you for joining us for Artis REIT's Second Quarter 2025 Results Conference Call. Artis' results were disseminated yesterday and are available on SEDAR+ and on our website. With me on today's call is Artis' President and CEO, Samir Manji; CFO, Jaclyn Koenig; and COO, Kim Riley. As we discuss our second quarter performance, please note that the discussion may include forward-looking statements that involve known and unknown risks and uncertainties. These risks and uncertainties may cause actual results to differ materially from those expressed or implied today. We have identified these factors in our public filings with the securities regulators, and we suggest that you review those filings. In addition, we may refer to non-GAAP and supplementary financial measures that are not defined under IFRS and are not intended to represent financial performance, financial position or cash flows for the period, nor should these measures be viewed as an alternative to net income, cash flow from operations or other measures of financial performance calculated in accordance with IFRS. Throughout this discussion, all figures will be presented in Canadian dollars, unless otherwise specified. Before we proceed, I'd like to note that a replay of this conference call will be available until September 8. You can access it by using the telephone number and passcode that were provided in yesterday's press release. Additionally, a recording will be made available on our website. I will now turn the call over to Samir to discuss Artis' second quarter results.
Samir A. Manji: Thank you, Heather. Good morning to those in the West, and good afternoon to everyone in Winnipeg and Eastward. Thank you for joining us today for Artis' second quarter results conference call. In Q2, we remain firmly focused on executing our strategy to reduce leverage and fortify our balance sheet, key components to managing risk and unlocking long-term value for our unitholders. We are confident that our disciplined approach is aligned with our overarching goal to maximize value for our unitholders over the long term. Leasing activity remains steady across all asset classes, underscoring the resilience of our portfolio. Occupancy rose to 87.8% as of June 30, up from 87.1% at March 31, driven primarily by the commencement of a new 80,600 square foot lease in our U.S. industrial portfolio. Additionally, we saw 210,643 square feet of renewals commenced during the quarter with rental rates increasing by 3.6%, a testament to the strength of our assets and tenant relationships. We continue to make meaningful progress on our deleveraging initiatives. Property dispositions have been and continue to be a critical element of our overall goals of reducing debt and strengthening liquidity. In Q2, we closed on the sale of a Canadian retail property for $4.8 million. Subsequent to the end of the quarter, we went unconditional on the sale of our 90% interest in a parcel of development land in the U.S. for USD 11.3 million. Over recent quarters, disposition proceeds have been utilized to significantly reduce leverage and enhance the resilience of our balance sheet. As at June 30, our debt to gross book value stood at a conservative 41.1% compared to 40.2% at the most recent year-end. Net asset value per unit was $12.98 at quarter end, reflecting the impact of foreign exchange, distributions, credit loss provisions and fair value adjustments. These were partially offset by solid net operating income, strategic unit repurchases under our NCIB and income from equity securities. During the quarter, we drew a net of $232.6 million on our revolving credit facilities primarily to repay the $200 million Series E senior unsecured debentures at maturity. At June 30, $271.6 million was drawn on the revolving credit facility and $170 million was drawn on the nonrevolving credit facility. We are actively managing upcoming mortgage maturities. Of the $235.1 million maturing in the remainder of 2025, 19% has already been renewed, term sheets have been received for 25% and we are on track to renew the remaining 56% in due course. Our strong lender relationships and proactive engagement continue to support our refinancing efforts. Under our current NCIB, we may repurchase up to 4.98 million common units and select preferred units. In Q2, we acquired 1.77 million common units at a weighted average price of $7.28 along with 25,700 Series E and 33,200 Series I preferred units. In total, we've repurchased 3.8 million common units at an average price of $7.42, representing a compelling discount to net asset value and a clear indicator of our confidence in the intrinsic value of our business. We continue to work closely with our consortium partners to explore strategic options for the Cominar portfolio. Discussions with interested parties are progressing, and we remain optimistic that a transaction will be reached in the coming months. Q2 was stable and strategically productive quarter. While payout ratios were elevated, we've consistently communicated that our income metrics, including FFO and AFFO, may fluctuate quarter-to-quarter. We remain confident that the successful execution of our strategy will support the long-term sustainability of our distribution and drive growth in net asset value per unit. We appreciate your continued support and look forward to updating you as we pursue opportunities aligned with our long-term objectives. I'll now turn it back to the operator to begin the Q&A session.
Operator: [Operator Instructions] Your first question comes from Jonathan Kelcher with TD Cowen.
Jonathan Kelcher: First question, just maybe elaborate a little bit more, Samir, on the Cominar. You're hoping for a resolution in the coming months. So if I take that to mean that by the end of this year, it should be like fully resolved and gone?
Samir A. Manji: We can't -- as you know, Jonathan, we can't confirm exact timing, but I would say that, that is certainly our expectation that we do have resolution before end of year.
Jonathan Kelcher: Okay. And I think last quarter, you talked about potentially becoming active in the second half of this year on the acquisition side. Can you maybe give a little update on that? What asset classes would look more favorable to you right now?
Samir A. Manji: I think we're agnostic to asset class in areas that we can explore or consider from a capital allocation standpoint. I think it, as you noted, is going to be opportunistic, and we are evaluating a number of different opportunities.
Jonathan Kelcher: Okay. And being agnostic, how do you -- like the equity securities portfolio was relatively quiet this quarter for you. How are you thinking about that?
Samir A. Manji: Yes. Again, that is a part of the universe of opportunities that we have on our radar. And I think something that we'll be able to comment on further in the back end of 2025.
Jonathan Kelcher: Okay. And then just last one for me. You had some strategic review costs in the G&A. I thought that process was over. Can you maybe give a little bit color of what that might have pertained to?
Samir A. Manji: Yes. We're always looking at opportunities, whether it's on a proactive basis, whether it's inbound and over the course of the 2025 fiscal year, we have been, again, engaging in exploring from a capital allocation standpoint, certain opportunities that resulted in some onetime costs that we booked in the quarter.
Jonathan Kelcher: Okay. Does that mean like the -- whatever was going to happen, didn't happen, so you wrote off the cost type of thing? Or is this something that could be ongoing in the next several quarters?
Samir A. Manji: Yes. Again, I think this really is ongoing and so far as we're going to look at any and all opportunities that surface and -- so as it relates to the cost that we booked, not necessarily is that a fait accompli, and these are, again, ongoing initiatives that we're engaged in just, again, trying to think about what the road ahead looks like and how can we harness our balance sheet in a manner that we believe is in the best interest of our unitholders long term.
Operator: [Operator Instructions] Your next question comes from Anish Thapar with Scotiabank.
Anish Thapar: So my first question is on the dispositions. So only one retail property was disposed this quarter. So what's your target for the asset sales in the second half of 2025? And which type of properties are attracting the strongest buy right now by -- maybe by geography or asset class?
Samir A. Manji: We've disclosed in the results the assets held for sale and what we've conveyed previously remains the case where we're going to be opportunistic on dispositions across the various asset classes that we have. And I can tell you today, those different initiatives include a mix of retail, industrial and office. I don't know if that completely answers the question, and -- but I will invite Kim to add anything further from a disposition perspective.
Kim Riley: Thanks, Samir. I think that covers everything. We're looking at various dispositions and activity remains strong for all asset classes.
Anish Thapar: All right. Just a follow-up question on the Cominar JV. So is there any potential for you to acquire some of its assets going forward?
Samir A. Manji: Look, nothing is off the table. I think the discussions that are underway are going to explore -- are going to continue to explore any and all avenues. At the end of the day, the objective, number one, is to bring that investment to a close. And number two, for us to be able to -- alongside our various consortium partners to be able to optimize the outcome, whatever that may look like. So we're going to look at various options and land on what the group collectively believes makes the most sense.
Operator: There are no further questions at this time. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.